Operator: Greetings and welcome to the Fair Isaac Corporation Quarterly Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, April 27, 2023. I'd now like to turn the conference over to Steve Weber. Please go ahead.
Steven Weber: Good afternoon and thank you for joining FICO's second quarter earnings call. I'm Steve Weber, Interim CFO, and I'm joined today by our CEO, Will Lansing. Today, we issued a press release that describes financial results compared to the prior year. On this call, management will also discuss results in comparison to the prior quarter in order to facilitate the understanding of the run rate of our business. Certain statements made in this presentation may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. Those statements involve many uncertainties that could cause actual results to differ materially. Information concerning those uncertainties is contained in the company's filings with the SEC, in particular, in the risk factors and forward-looking statements portions of such filings. Copies are available from the SEC on the FICO website or from our Investor Relations team. This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release and Regulation G schedule issued today for a reconciliation of each of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release and Regulation G schedule are available on the Investor Relations page of the company's website at fico.com or on the SEC's website at sec.gov. A replay of this webcast will be available through April 27, 2024. And now I'll turn the call over to Will Lansing.
William Lansing: Thanks, Steve, and thank you, everyone, for joining us for our second quarter earnings call. On the Investor Relations section of our website, we posted some slides that offer financial highlights of our second quarter. I am pleased to report that we continue to deliver strong results with record revenue and growth throughout our business. Today, I'll talk about this quarter's results and our expectations for the rest of the year. As you can see on Page 2 of the presentation, we reported revenues of $380 million, an increase of 6% over the same period last year. We delivered $102 million of GAAP net income and GAAP earnings of $4 per share. On a non-GAAP basis, net income was $121 million with earnings per share of $4.78. On the Scores side of the business, we continue to perform well. Scores delivered a record quarter with $198 million of revenue, up 8% in the quarter versus the prior year, as you can see on Page 6. On the B2B side, revenues were up 16% driven primarily by increased originations revenues. Mortgage originations revenues were up 90% versus last year. Auto originations revenues were up 13%. Credit card, personal loan and other originations revenues were up 12%. Our B2C revenues continue to face difficult comps, and while up slightly versus last quarter, were down 8% versus the same period last year. In our Software business, our FICO platform provides the power of analytics and AI to enable smarter business decisions at scale. We're focused on helping clients maximize the customer experience by predicting, analyzing and optimizing customer interactions in real time to make better customer decisions across the enterprise. These better decisions build trust and loyalty by delivering hyper-personalized experiences through holistic customer management. And the strong results we're delivering demonstrated in the industry hungry for these solutions. As you can see on Page 7, we delivered overall ARR growth of 17% and platform ARR growth of 60%. This represents our 14th straight quarter of platform ARR growth in excess of 40%. Again, our customers continue to increase volumes and find new use cases, as you can see from our net retention rates shown on Page 8. Overall, net retention rate was 114%. Legacy platform NRR was 105% as volumes grew in many of our customers. Platform net retention rate was 146% due to expanded use cases driven by the success of our land and expand strategy. And we continue to see strong demand for our Software. As you can see on Page 9, our ACV bookings were up 16% over the same period last year. We continue to see a strong pipeline of opportunities as we help our customers to look at strategic mission-critical decisioning as they pursue their digital transformation. Finally, I'd like to talk a little bit about our FICO World customer event next month. FICO World attendees will be able to discover how to design, build and deliver a hyper-personalized customer experience across every touch point and within every interaction. Attendees will have access to schedule meetings with FICO's leading thought leaders and experts to discuss best practices and innovative solution designs to solve business challenges. General session presenters at FICO World include leading financial services providers from North America, Latin America, Europe and Asia Pacific. The conference will reveal new products, FICO score alternative data innovations, software capabilities on the FICO platform as well as the company's flagship solutions for AI-powered decisions. We will also announce a new partnership and other new FICO solutions. We'll talk more next quarter about the event and give more details about how leading financial services providers are using the FICO platform to design innovative solutions to solve business challenges. I'll have some final comments, including a revision of our guidance in a few minutes. But first, let me talk -- turn the call over to Steve for further financial details.
Steven Weber: Thank you. As Will said, we delivered another very good quarter in both our Scores and Software segments. Total revenue for the second quarter were around $30 million -- $380 million, an increase of 6% over the prior year or 7% when adjusted for divestitures. In our Scores segment, revenues were $198 million, up 8% from the same period last year. B2B Scores revenues were up 16% over the prior year driven by increased originations revenues. We drove revenue increases in mortgage, auto and credit card, personal loan and other originations. This quarter, mortgage originations revenues were up 90% from the same quarter last year. Our originations revenues were up 13%. And credit card and personal loan and other originations revenues were up 12% over last year. B2C Scores revenues were down 8% from the same period last year, as Will explained, due to difficult comps. As a reminder, that was an area that experienced outsized growth during the refinancing boom and peak in our third quarter of fiscal '22 and was up about 1% this quarter versus the first quarter of fiscal '23. Software segment revenues in the second quarter were $182 million, up 5% from the same period last year where we have -- and as a reminder, last year, we had a significant upfront license revenue quarter. Software revenues recognized over time were $136 million or 74% of total Software revenues. License revenues recognized upfront or at a point in time where -- or $19 million this quarter and represented 11% of Software revenues. Our professional services revenues were $27 million, representing 15% of total Software revenues. In the second quarter, 84% of total company revenues were derived from our Americas region. Our EMEA region generated 11%, and the remaining 5% were from Asia Pacific. Our Software ARR in the second fiscal quarter of 2023 was $613 million, a 17% increase over the prior year quarter. Our platform ARR was $152 million, up [ 60% ] from last year and represented 25% of our total second quarter ARR compared with 18% last year. Our nonplatform ARR also grew nicely and was [ $461 ] million in the first quarter, up 7%. As a reminder, all of our ARR numbers have been adjusted for divestitures. Our dollar-based net retention rate in the quarter was 114% overall versus 109% last year. Our platform customers continue to show very strong net expansion from follow-on sales of new use cases and from increased usage. The net retention rate for platform was 146% in the second quarter. Our nonplatform customers software usage increased this quarter due to increased volumes and PPI increases. The nonplatform NRR was 105%. We had another good quarter of Software sales with annual contract value bookings of $23.3 million versus $20.2 million in the prior year, an increase of [ 16% ]. As a reminder, ACV bookings include only the annual value of Software sales, excluding professional services. Turning on to expenses for the quarter. Our total operating expenses were $221 million this quarter versus $205 million in the prior year and $205 million in Q1. Much of the increase was due to salary increases, which took effect in December and [indiscernible] increases. We also had approximately $10 million of nonrecurring expense from a number of small items that were incurred this quarter. We will have some onetime expense from our FICO World event in the third quarter, but we do expect a run rate in the back half of the year to increase slightly from the current levels. Our non-GAAP operating margin, as shown on our Reg G schedule, was 49% for the quarter, the same as our first quarter of FY '23. GAAP net income this quarter was $102 million, down 3% from the prior year quarter where, again, we had a large upfront license deal. GAAP EPS of $4 was up 1% from prior year. Our non-GAAP net income was $120 million -- $121 million for the quarter, down 2% versus the first quarter last year and non-GAAP EPS was $4.78, up 2% from the prior year. The effective tax rate for the quarter was 26%. We expect our full year 2023 recurring tax rate to be approximately 25% to 26%. [indiscernible] expecting recurring tax rate before any excess tax benefit or other discrete items. The resulting net effective tax rate is estimated to be about 24% to 25%. Free cash flow for the quarter was $88 million for the trailing 12 months. Free cash flow was $439 million. At the end of the quarter, we had [ $167 ] million in cash and marketable investments. Our total debt at quarter end was $1.92 billion with a weighted average interest rate of 5.1%. Currently, [ about ] [ 67% ] of our total debt is fixed rate. Our floating rate debt is prepayable at any time, giving us the flexibility to use free cash flow to reduce outstanding floating debt balances in future periods. Turning to return of capital. We bought back 170,000 shares in the second quarter at an average price of $684 per share. At the end of the quarter, we had $335 million remaining on the current Board authorization, and we continue to view share repurchases at an attractive use of cash. And with that, I'll turn it back to Will for his thoughts on the rest of fiscal '23 and our revised full year guidance.
William Lansing: Thank you, Steve. As I said in my opening remarks, we continue to deliver strong results, and I have confidence in our team as we move forward. Our Scores business continues to deliver strong growth even in a volatile macro environment. As I've said in the past, our diversification through different credit verticals means we're less dependent on specific types of lending, which is very important in a rising rate environment. On the Software side, we continue to prove that market demand for FICO platform is strong and growing. We're delivering valuable technology to customers looking to use the latest analytic and AI technology to optimize their consumer interactions and revolutionize their businesses through digital transformation and, importantly, to do it at scale and with low latency. As always, we're focused on execution and remain committed to delivering value to our shareholders and visibility into our progress. Finally, today, we're raising our full year guidance as we enter the back half of our fiscal year. There's still a great deal of uncertainty in the markets we serve, but we have line of sight to much of our revenue and are confident that we can raise our guidance accordingly. We are raising our full year revenue guidance to $1.48 billion. We're also increasing our GAAP and non-GAAP net income guidance. GAAP net income is now expected to be $406 million. GAAP earnings per share is now expected to be $16.15. Non-GAAP net income is now expected to be $489 million. Non-GAAP EPS is $19.45. And with that, let's turn the call back to Steve for Q&A.
Steven Weber: Thanks, Will. This concludes our prepared remarks, and we're ready now to take any questions you may have. Operator, please open the line.
Operator: [Operator Instructions] And your first question comes from the line of Faiza Alwy with Deutsche Bank.
Faiza Alwy: Wanted to talk about the updated revenue guidance of $1.48 billion. Can you walk us through sort of what's changed? Are there areas of the business where you're feeling more positive about versus are there areas where you've maybe changed your view around?
William Lansing: Well, I think that it's not so much that things have changed as -- with the benefit of half a year behind us, we have more confidence in what we expected. And so we're able -- as you know, we're typically conservative in our guidance. And so we're really just stating officially that we're comfortable with the direction that things are headed. There's not really any surprises there, and there's not any dramatic changes.
Faiza Alwy: Okay. Understood. Maybe just a follow-up on expenses. Steve, I know you mentioned something about $10 million of expenses that were more onetime in nature this quarter. Just walk us through sort of what your expectations are for the back half of the year again on expenses.
Steven Weber: Yes. So we had a number of things that -- a lot of that may take place throughout the year. A lot of it has kind of happened this quarter. We included a little bit more for incentives, which we typically probably don't do to the third quarter. So we did that now. We had the success our sales events. We had a few other kind of true-up things that typically happen throughout the year, but we got more in this quarter. So the rest of the year, I mean, we have FICO World coming in our third quarter. So that's -- there's an expense associated with that. But we expect that, if anything, the expenses in the back half of the year will probably be similar to our second quarter or potentially even drift down in the fourth quarter because there aren't any onetime events there. A lot of that stems on the revenue we did, too. So -- but we don't -- it looks like there's a step function here, but it's not as much as it probably as it looks like on the surface because it's an aggregation of a lot of onetime happening in 1 quarter.
Operator: Your next question comes from the line of Manav Patnaik with Barclays.
Manav Patnaik: Will, just a broad macro comment, especially since you're raising your guidance. Just a lot of your peers don't seem to be too worried about the incremental pressure from the bank failures and so forth, but I just wanted to see if you had any unique insight from what you're seeing and how you assess the risks here.
William Lansing: I wish that I had unique insight to share with you. As you know, our revenues tend to lag the bureaus. They tend to lag -- and so we're not a leading indicator. What we do see is sequentially from last quarter to this quarter, we've stabilized, and we seem to be moving upward a little bit. So that's a positive sign. But I wouldn't say that I have -- that we, FICO, have any kind of unique insight into the future. We certainly haven't felt any fallout right now. We're not sensing any fallout.
Manav Patnaik: Got it. Okay. That's helpful. And then just on the originations revenues, I think we all have a good sense from the bureaus on the mortgage volumes. But I was just hoping you could give us some color on what auto, card and personal loan debt from a volume perspective this quarter.
Steven Weber: Yes. They were both up. Auto was up a little, not a lot, but it was up year-over-year and current results. We don't need all the details at the [indiscernible], but they were both up at least modestly.
Operator: Your next question comes from the line of Kyle Peterson with Needham.
Kyle Peterson: Just wanted to touch on the software side of the business. The ARR, particularly in the platform side, looks really strong this quarter and acceleration at least in terms of the year-on-year growth rate compared to last quarter. I just want to see if you guys could dive into what drove that acceleration, especially kind of in an environment where I think there's a lot of speculation. The bank IT budgets could tighten just with all the ongoing volatility in the market.
William Lansing: Yes. It's a good question, Kyle. And certainly, the backdrop for IT spending and software is a little softer. There's -- but not for us. So the good news is that our offerings, particularly our platform offering, but our software offerings are so critical. And so March, a part of kind of the strategic future for our big customers that they're not getting the same kind of cancellation and squeeze that some other software products are. We're -- in fact, we've seen our sales cycle shortening a little bit. We see continued expansion of existing sales of platform. And we're actually running into less competition out there than one might expect. Most of the competition comes from homegrown. There's not really competitors out there who have offerings that are on a par with ours. Our platform offering is so much more powerful and fully featured and what the customer needs that it tends to be a less competitive kind of situation and much more of a strategic buy. And so that's really what we're seeing. And so no, we have not slowed down in spite of the software spending environment.
Kyle Peterson: Got it. That's helpful. And then maybe just a follow-up on the software side of the business, particularly the talent side of things. I know historically, you guys have kind of been a bit supply constrained per se, kind of having a hard time selling seats in some key roles. Has gotten any easier, given some of the labor market changes, call it, in the last 6 to 8 months, particularly in white-collar tech per se? I just wanted to see if it's got a little easier and maybe a part of that contributing to higher expenses.
William Lansing: I'd say that we have never had any trouble attracting talent to FICO, not years ago, not last year, not this year, not even when times are tight, when employment is very tight. Yes, there are some salary and cost pressure. And I'd say that's more a year ago than today, but we have had no issues whatsoever with attracting talent or retaining talent for that matter. I think that we offer our engineers and our people super challenging roles. They're working on industries mediating critical stuff, and they like it, and we've been able to track great talent that way. I wouldn't -- with the exception of what Steve mentioned from a salary and stock comp expense standpoint, bonus standpoint, I wouldn't say that there's disproportionate pressure on conferencing or anything like that.
Operator: Your next question comes from the line of Surinder Thind with Jefferies.
Surinder Thind: I'd like to start with a question on the Scores B2C side of the business. It looked like revenues were sequentially flat quarter-over-quarter versus the declines that you've seen in the last couple of quarters. Any color there in terms of the dynamic? Does it look like things have stabilized at this point and then maybe in terms of the new additions versus the number of people that are rolling off? Any color there?
William Lansing: I think things have stabilized. It feels like they've stabilized. For myFICO, we've had some success with a free program. And I think for our partners, volumes are stabilizing. So I think that's kind of the general picture there.
Surinder Thind: Fair enough. And then in terms of just the dollar-based NRR, obviously, there was a material acceleration in the figure from 130% last quarter to 146% this quarter. That reverses the slowing trend that we had been seeing. Can you provide some additional color there? How much of that is sensitivity to FX? And then how much of that is just like the international business there?
Steven Weber: Yes. Very little of it [indiscernible]. You've got to remember, this is a fairly small number of customers. So a customer coming out and really expanding their use cases can have a pretty dramatic impact when they do that. So I mean you're going to have volatility in both that number and ARR number. But I mean we're seeing pretty much crossed forward with our customers. As they start to use it, they find additional use cases and they drive more volume. So we're really encouraged by that.
Surinder Thind: And then one follow-on in terms of -- when I think about the new clients that you've been adding to the platform or the new use cases, that's consistently been growing at about a mid-teens pace. That was true last year. That was true this year. It was true through most of 2022. So it doesn't seem like there's really any impact from macro. You've kind of quantified it as there's maybe not a lot of sensitivity there given the importance of the platform. But can you discuss the conversations you're having with the new clients in terms of how you're quoting them? And what does that pipeline look like at this point? Like the conversions that you're seeing or that we're seeing now, is that conversations from last year? Or how -- when I say last year, meaning a year ago. Or how should we think about that in the current pipeline?
William Lansing: I would say the pipeline is as strong as it has ever been. So it's not like we're working off old pipeline from last year. I think that the future is every bit as bright as the present. So I would just -- I'd lay that out there. The conversations are strategic. So we're operating at a higher level in our customers. We're talking to Chief Digital Officer, the Digital Transformation Officer, the C-suite, the CIO, the Chief Risk Officer. The conversation has been elevated, and that continues to be the case. And I think the couple of things to distinguish our sales approach here are, one, we have something that nobody else has, which the industry very much wants. They want to be able to have this certain industry view of the customer and optimize every interaction and leverage all the data that they know about every consumer to make the smartest kind of an interaction we possibly can. And that's been imperative for the industry. And certainly, the biggest and most forward-thinking banks and lenders are already well down this path, and they see that we have the right offering for that. The other thing is the payback is very rapid. So unlike some of the software that we sold in the past were it'd be a long sales cycle and then it would be a long install and then the payback might take a couple, three years, and then it would get -- the license would be renewed for another three years and another three years. I would say that was kind of the typical software kind of approach five years ago. Today, the payback is extremely rapid. It can be within a year. It could be less than a year. And so what -- and it's very easy to get started. You don't have to commit to a monster project to get started. You can start with one portfolio with one or two or three use cases, see how it goes and then expand from there. And as a result, it's very easy for our customers to give it a try. And when they do it, they try it, and they fall in love with it, and then they expand. And so I think between the very rapid ROI, the very strong references we get from our customers who talk to our would-be customers and the strategic nature, I think those are all the things that are powering us.
Operator: Your next question comes from the line of George Tong with Goldman Sachs.
George Tong: With fiscal 2Q now complete, you have visibility into the flow-through of your Scores special pricing increases. Can you discuss the traction of your special pricing increases? And how much of it is reflected in your updated guidance?
William Lansing: If you're asking is there any special pricing on top of the guidance that we've provided, if that's what you're asking, I would say yes, there is, but we don't quantify it. I mean we really -- there's enough uncertainty out there that we'll know what the special pricing is at the end of the year when the numbers are counted. So I would -- the short version is there is some special pricing above the guidance that we've provided today, but I wouldn't want to quantify it today.
Steven Weber: Yes. And George, you follow the point out if you realize we're conservative with the way we guide, and we don't want to put the final point on anything. So we [indiscernible] we can. We'll provide more context when we can, but this is pretty much consistent with what we've done in the past years.
George Tong: And then aside from guidance, just in terms of what's the receptivity and what's the traction of your special pricing increases?
William Lansing: Well, they go through. We wind up publishing the new prices, and then they go through, and they flow through. And if there were -- if we were to face attrition because of the pricing, I suppose we would start to learn about it now, but we certainly haven't seen anything like that.
George Tong: Perfect. Very helpful. And then secondly, you mentioned auto and card volumes are up modestly. Can you describe what you're seeing with origination volumes from a trend perspective? How are they trending? I mean things getting better? Are they stable?
Steven Weber: Yes. Card origination is probably trending down. I mean it's very hot at the end of last year -- next calendar year. It's probably trending down a little bit. But auto has bounced around a lot. It's been pretty stable throughout the last couple of years. But pricing, you probably [indiscernible] data from industry sources that you're going to get from us. And again.
Operator: Your next question comes from line of Ashish Sabadra with RBC Capital Markets.
Ashish Sabadra: Steve, maybe a quick clarification when you talked about the expense growth in the back half of the year. Is that increasing in the back half of the year? Is that excluding the $10 million onetime in the second quarter? Or doesn't include that?
Steven Weber: No. On a run rate basis, we'll probably be pretty flat to that $10 million or maybe that's probably the high end of what it would be, again, but a lot of kind of how much [indiscernible] get revenue over beyond our guidance. There's some products associated with that. But you can kind of back in on your model, if you take our guidance and see what's the implied expenses in the back half of the year. But personnel was up 6%. I think the personnel were not all that obviously is payroll increase and headcount expansion, so we had some true-ups of some incentives both in the U.S. and other parts of the world. So there's a little bit of -- and we have a number of different kind of onetime things that kind of gets that to $10 million number. So there's a lot of noise in the number. I don't want people to think that our expenses are ramping up that dramatically.
Ashish Sabadra: That's very helpful color. Maybe just a quick question on the FHFA press release that came out on March 23. It mentioned that it currently estimates the buyer credit implementation could occur by first quarter of 2024. I was just wondering if you had any thoughts on the implementation.
William Lansing: Your guess is as good as ours. It has always seemed like a somewhat aggressive timetable to us, but time will tell whether it happens at that time or later. But -- and one could imagine that it could happen on the time frame that's been announced.
Operator: Your next question comes from the line of Jeff Meuler with Baird.
Jeff Meuler: So Software looks great. Look forward to seeing you at FICO World, I guess, next month. I do have another question on the guidance methodology. I just want to make sure I'm understanding it correctly. I think you said, Will, that like you took a similar approach to prior years. There was another question, and it didn't sound like the environment is all that different than what you were expecting. But the magnitude of the increase this year was obviously quite a bit less, at least at the EPS line than some prior years, what you did during Q2. So I'm not understanding if, like, you're holding back more of the pricing benefit this year given uncertainty or if there's offsets in volumes, you mentioned card getting worse or just anything like that? Or is this a pretty full view of the calendar '23 special pricing impact similar to what you've incorporated in prior years with a little bit of conservatism?
Steven Weber: Yes, I think it's probably more conservatism than we've had in the past because of so much uncertainty, right? I mean you go back a couple of years early pull guidance completely. So I mean there's a lot of uncertainty there. We have a fair amount now as well, but we're obviously dealing in a pretty volatile environment where a lot of our peers are funding their guidance. So we're trying to be as prudent as possible.
Jeff Meuler: Got it. And then just can you comment on free cash flow? I get that it could be lumpy quarter-to-quarter. I think we have a couple quarters in a row now where it's a bit lower. So just what's going on there? Or any sense of like when you'd expect that to normalize?
Steven Weber: I think it'll probably normalize in the back half of the year. I think what happens is you see it both in our accounts receivable. So I think as our Score revenue jumps up, it hit the receivables, and that takes a while hard to flow through to cash. So a lot of that is fairly late in the quarter. So I think you'll probably see a lot more flow through next quarter. There's nothing changing in any of that. So I mean if you look at overall period of time, you'll see [indiscernible].
Operator: And there are no further questions. I'll turn the call back to your presenters for closing remarks. Thank you.
Steven Weber: All right. Thank you all for joining today, and we look forward to speaking with you again soon. Thank you. This ends the call.
Operator: And that does conclude the conference call for today. We thank you very much for your participation. You may now disconnect your lines.